Leo Quinn: Good morning, everybody. Judging by the size of the audience, it looks if you all delayed your summer holiday just to see these results. I'm Leo Quinn, Balfour's Chief Executive. I'm joined by Phil Harrison, Chief Financial Officer. And we're going to give you an update on the half year performance. First and foremost, strong first half, and the progress that's been made is in the areas that you'd like to see it made. Earnings are up some 12% overall. But if you dig below, you'll see the U.K. earnings business is up some 60%. Hong Kong is up 40%. So very encouraging. Cash continues to be strong at just around £700 million, if you actually add back the share buyback, which is just under £100 million, it's almost flat with last year. So again, a strong, encouraging first half. The most important thing about the business at the moment is just where we're positioned for future growth. And to my mind, it's never really been as encouraging or optimistic. Our growth is driven by things like sustainability and net 0 carbon and the likes of that. It doesn't matter whether you look at the demand side or the supply side. We're very, very well-positioned. What I mean by that, if you think about the supply side, whether it's offshore wind farms, whether it's nuclear power station, all forms of clean energy, we're actually a major player in that, and that's a rising tide for which we'll benefit from enormously. And then finally, in terms of delivering to shareholders, it is interesting. We announced our capital allocation model some 3 years ago. And in that period of time, we've returned some £600 million in terms of cash and share buyback, which is 1/3 of our market cap. So very encouraging in terms of the earnings-based businesses are doing well. The market in which we sell is actually growing and the return to shareholders is substantial, and we sort of see future returns to shareholders as well. I want to point out here what effectively is some of our critical national infrastructure projects. And these are very, very important because our fortunes do rise and fall on how we execute on these contracts. It always helps us start with a good contract, make no mistakes, because they always come into play. But if I take you around these, the top left-hand picture that you see is actually a national grid job where we're doing the power transmission and underground cables from Hinkley power stations through to the grid. This job has been successfully completed. It was a fixed-price lump sum. The reason this is important is as we go forward, and we see a growing energy market and energy security market. The nature of these contracts is going to change under the ASTI framework, where we'll have inflation protection and there's 2-step process. So you can see that in the future, we'll be derisking these jobs, which actually will bode well for margin returns. On the top right, what we have here is this is Old Oak Common. And we are going to do a showcase at some point in terms of Old Oak Common. This is in London in the Acton area. And what you're seeing here is actually the box section that's being built. You can see the size and scale just by judging the 2 engineers that are in the base. This will constitute some 6 platforms for the new HS2 rail line, and that will connect with the Elizabeth line and the Great Western Railway and other 8 platforms. So this will be a huge station. It's actually the largest station under construction ever in the United Kingdom. Very exciting projects, and it's where HS2 will currently terminate for London. The other end of the line, which is actually Curzon Street, which is actually in Birmingham. If you take the train into Birmingham New Street, the last 3 minutes of your journey, we'll actually see this project unfold. And there's 3 major structures in this area. What you're seeing here is actually this is the Y-shape peers and the bridge deck, which will be cast in the next week or 2. And you can see this unfolding before your eyes. It's an incredible project, and it's incredible for one reason. I started my career building a bridge in Balfour Beatty some 40-odd years ago. And one of that single bridge is a major project. Does 3 of those going on all in the same area, and it's all governed under 1 project office. So it's a very lean operation. It's very, very impressive. And then finally, if I look at Hong Kong to prove the international capability that we have. This is a T2 airport, and this is one of the roof structures. This is approximately 70 by about 36 meters, and it's actually being assembled on the ground and then jacked up into position. So these major projects, this is what we do. This is our unique capability. It's not just about the engineering. It's about the contract and the commercial terms to manage this. And we forecast at this moment in time that we're on for our full year earnings around these projects. So what I'm going to do is I'm going to hand over to Phil, who will treat you through some facts, and then I'll come back and treat you to the future.
Phil Harrison: Thanks, Leo. And good morning, everyone. Let's start with the headline numbers. Revenue grew by 9% in the first half to £4.5 billion, which was a 6% increase when excluding foreign exchange movements. Profit from the earnings-based businesses increased 12% with strong profit growth in U.K. Construction. However, group profit from operations reduced by 6%, with lower profits from the investments business, partially due to the timing of disposals. The benefit to the group's net finance income of higher interest rates was offset by a higher tax charge, as there was no additional deferred tax assets for U.K. tax losses recognized. When taken together, this resulted in an 8% decrease in profit for the period. However, earnings per share increased slightly to 13p, as the group's share buybacks took effect. Our £16.4 billion order book has reduced by 6% in the period or 3% when excluding foreign exchange movements, and the director's valuation of the infrastructure portfolio remained at £1.3 billion. Cash outflowed as forecast, with period end net cash of £710 million and average net cash of £695 million. In line with the policy for the interim dividend to be roughly 1/3 of the prior year's total dividend, the Board today is announcing an interim dividend per share of 3.5p. Looking forward to year-end, we remain on track to deliver full year earnings expectations. Moving on to the business units, and let's start with Construction Services. Profit from operations increased by 33% to £65 million, driven by U.K. Construction and Gammon. In the U.K., revenue grew -- revenue growth of 23% was driven by increased HS2 volumes, which alongside improved delivery across the portfolio, took the profit margin to 2% compared to 1.5% a year ago. As a result, profit increased by 67% to £30 million. Touching on HS2. Earlier this year, we were asked by the client to rephase work on our Area North contract. Having now worked through the change order and rebalance the workload, the adjustments have had no material impact on our forecasts. And we expect U.K. construction to deliver ahead of the 2.1% profit margin achieved in 2022. Looking beyond the U.K., U.S. Construction delivered £21 million of profit, which was in line with the first half of 2022, and Gammon grew revenue and profit by around 40% and driven by the major Hong Kong Airport projects. The Construction Services order book reduced by 8% in the first half, or 5% at constant exchange rates. In the U.K. and Gammon, the increases in activity at HS2 and Hong Kong Airport, which have driven the revenue upwards, have in turn, reduced the order book. In the U.S., we continue to see delays in commercial office projects going to contract, particularly in Texas, as customers waited for more positive economic news with U.S. inflation reducing to around 3%, we have started to see some early signs of awarded work progressing to contract. We've also had some further U.S. awards in the first half, which are yet to go to contract, including a $650 million project at Raleigh-Durham Airport in North Carolina, where the contract the awards will come in stages phased over the multiyear project. I'll touch quickly on our £5.9 billion U.K. construction order book as its contract mix is a great indicator of the changes which the business has seen. Not only does the volume of future orders provide visibility for the short- and medium-term, but the weighting of orders by contract type also reflects the improved risk profile. 84% of the order book is covered by target cost and cost plus contracts, which protect the group from inflation risk, and the majority of the fixed price work is priced over 2 stages, allowing for the additional risk mitigation. We also continued to work almost exclusively with public and regulated clients, which reduces risk further. We will continue to favor those projects with lower risk contract terms that provide stability and predictability to the group. Moving on to the Support Services Business, which comprises our power, road and rail maintenance businesses. Revenue reduced by 7% in the first half, driven by the timing of power projects. Support Services PFO reduced by £6 million to £30 million, due largely to the lower revenue in Power and higher costs in the Road Maintenance Business, where 2 new long-term contracts were launched. As we bring the new contracts onto our systems and align them to our ways of working, additional costs are required upfront, but this is built into our expectations when planning the projects. With these two new contracts now in place, revenue from the Road Maintenance Business is expected to be higher going forward. Looking towards the second half, we continue to expect the full year PFO margin to be towards the top end of our 6% to 8% targeted range, with all 3 businesses performing well. In the medium-term, the Power Business is poised to see significant growth as the industry responds to the government's need to invest heavily in the grid. Last week, we were appointed to SSE's £10 billion ASTI framework, and we're also bidding on national grids equivalent, great grid upgrade framework with project delivery expected to begin in 2025. Moving to infrastructure investments. In our infrastructure investment business, our pretax profit has reduced from £24 million to £14 million, due to 2 main factors. We made no disposals in the period compared to £7 million last year. By its nature, disposals are lumpy, and we continue to target gains on investment disposals in the range of £15 million to £30 million for 2023. In the U.S., there's been an increase in military housing costs, relating to the independent compliance monitors first year of work. Within the pretax profit, there's also an offset between operating profit and interest receivable of £3 million, driven by higher interest rates on the subordinated debt provided by the group to some joint ventures. It is important to note that this does not impact the cash distributions received by the group, but does require the returns to be presented differently in the accounts. Looking to the second half and our planned disposals, we are currently engaged in marketing a number of assets, which we plan to close out by year-end. We will continue to be disciplined in our approach and our priority remains focused on maximizing value. Let me take you through our valuation of the portfolio now. As a reminder, at year-end, we had our valuation independently verified by a third-party expert, and the methodology used for the half year valuation has not been changed. During the first half of 2023, we have invested £24 million in new and existing projects, including the addition of 1 student accommodation project in Florida. We expect to make further investments in the second half, as we continue to see opportunities to invest at our target return rates. During the period, we received £33 million of distributions from the projects, and the function of reducing the discount by 6 months increased the valuation by £42 million. Foreign exchange rate changes have had a negative impact. 58% of our portfolio's value was in North American investments, and the weakening of the dollar has driven a £39 million decrease. And finally, operational performance has reduced the valuation by £16 million, as higher U.S. insurance premiums and an increase to our estimates of costs related to the monitor's work were reflected in the period. These costs were partially offset by U.K. student accommodation rent increases. This has resulted in a valuation reducing marginally, but still remaining around £1.3 billion. Our cash flow performance in the period has been in line with our expectations, with the closing balance reducing by about £100 million. Operating cash flow remained strong and was marginally higher than the prior year, and the 2 largest outflows, being working capital and the share buyback program, were both flagged at year-end. We are expecting a further working capital unwind in the second half, and continue to expect the full year unwind to be between £75 million and £125 million. We have also given guidance today for 2023 average net cash, which we expect to be in the range of £650 million to £700 million. One other item worth noting is the pension deficit payments of £13 million, which have come down from £29 million, following an agreement with the trustees of our largest pension fund earlier in the year. The contributions are expected to remain at this lower level in the medium-term and for self-sufficiency to be reached in 2027. I'll finish with our capital allocation framework. We are continuing to invest in organic growth opportunities, with not only further additions to our investment portfolio, but also by investing in capability across the earnings-based businesses which Leo will talk to shortly. We also expect to realize value from the investments portfolio. And as mentioned, we're planning for disposals in the second half of 2023. We have taken active steps in the first half to further strengthen our balance sheet, and have refinanced our revolving credit facility by replacing the old £375 million facility which was due to expire next year, with a new £475 million facility, which runs to 2027 with a further 1-year extension option. The Board has declared an interim dividend of 3.5p per share, which is aligned to the policy of being roughly 1/3 of the prior year's full dividend. And finally, we're on track to finish 2023's £150 million share buyback program in the fourth quarter of the year, and continue to expect the capital allocation framework to be in place for years to come. With that, I'll hand you back to Leo.
Leo Quinn: Thank you. I'll start here, but I'll just reflect on something that Phil said. When you think about the capital allocation model, our number one priority for cash is to invest back in the existing business. And given the rising tide and the size of the opportunity, now is an ideal time to be investing in selling expense to cope with the demand for bids that is coming out in the marketplace. So we'll see that investment in selling actually increasing. And if I point you towards the slide on the left-hand side, I showed you this slide last time, and it's worth just going around it to understand, as I said last time, we're sort of like the Intel Inside, we're the enabler that makes a lot of these things possible. But working all the way from submersible, semisubmersible platforms with the likes of Aker in terms of the future of offshore wind farms. We're one of the largest supplier of pylons and transmission cables for the grid to help derisk the grid. Small modular reactors, we're looking to play with Holtec, but there's an awful lot of players coming out in the market, and it's all quite an interesting space, whether it be fusion or conventional energy, nuclear energy, the likes of Hinkley, we see growth with Sizewell. So again, exciting in that area. We made a small investment in terms of EV charging to capitalize on the demand in that market. And we're an active FEED studies and the like around carbon capture and hydrogen. So the space is actually very, very exciting. And since we spoke about this 6 months ago, what we've seen is that the, what I would call the mobilization risk, in terms of these are such big markets and such big opportunities. It's too expensive for any one company to go in on their own. So what the government is doing is it's launching the ASTI framework, which is about derisking the grid. It's looking at carbon capture, and it's looking at small nuclear reactors. And it's actually putting up a summer money to enable these things to happen. We, at this moment in time, are working on FEED studies and enabling work to make these real. So we're actively engaged in actually setting the stage and the foundation to make these things possible. So it is very exciting, and I'll touch on it in the next few slides. But this is a growth market for which we are uniquely positioned to actually capitalize on that. In our Support Services business, which also feeds into the same market, in our power T&D, we're off to a very good start. But I'll point you again to SSE's ASTI framework. That's already been put out and bid National Grid will probably make some decisions around the first quarter of next year. I would anticipate between 25 and 30 and maybe even towards the end of '24, that there will be an additional £2 billion to £3 billion worth of business over that 5-year period, which is substantial growth. So in terms of that power T&D, you're looking to the upper end of doubling that business by 2027, '28. In terms of road and road maintenance, again, a nice business that we seem to manage very successfully. We won 2 contracts in the first half of the year with East Sussex and Buckinghamshire, and we're mobilizing those. We're targeting one more local authority next year. Again, so what we're seeing is good double-digit returns, and we're seeing good growth in that area. In terms of the rail, the CRSA contract is performing very well. Also, the London underground in terms of the upgrade as the Piccadilly line was our power traction is doing well. We see growth coming in the areas of the Midland Mainline electrification, but also there's the track slab from HS2. And again, in line of investing, all of these take substantial resources and actually investing. And the challenge at the moment is, it's like London buses, there's 3 of them coming out one, and we've got to work out how we handle that peak loading. But the stuff we do here is very traditional. We put cables across the Highlands. We operate central monitoring stations for road maintenance and we actually repair railways. This is the new repair where the line was shut for 10 weeks. And we put a small team in there and actually restored the bridge to foundations at record time and released it back to the client early. I want to point this out in light of the slide I showed you with the pictures of what we're doing. What's interesting in that first slide was, if you look at the transmission job, which is on the top left, the old framework was fixed-price lump sum. If I look at the HS2, those particular contracts were derisked for inflation, and they were incentivized, cost plus and incentivized fee. What we're looking to do is move all of these frameworks into areas whereby the inflation risk is not ours. It stays with the customer, which is fair because that's actually where the returns are ultimately, and that we understand how we've derisked the contract in order to make sure that, that derisking improves margins. So in the case of cabling here, we've talked about the ASTI framework and the size and scale of this opportunity. But what you see is the pilot and the wiring. What you don't see is what we do underneath it. So we have specialist design capability. We actually do the piling. We do the power cap. We put the roads in, in order to reach these items. And the way this will be contracted in bid will be a 2-step process. So effectively, we will put our team together with the clients team. We'll look at the DCOs, we'll look at the engineer and then we look at the actual execution of the job. And then when that Phase 1 is done, we'll then decide on what basis we perform through to the final contract. So that's 2-stage distribution is that most of the risk will be designed out in Phase 1 before we actually enter a final contract in Phase 2, substantially different to where we are today. And if I look at nuclear power stations, the important thing about Sizewell is Sizewell is the intelligent replication of Hinkley. So the lessons to be learned from Hinkley will be transferred here. We carried out all the marine works and the tunnels and we'll be doing the same here. But we're looking to add the enabling works and the earthworks. Just as a matter of interest, the earthworks here on Sizewell are substantial, but there are about 20% of the earthworks that we've done on N1 and N2 on HS2. So you can see we're uniquely qualified to do that. And in the enabling works, we'll be doing things around the preconstruction design we'll be looking at the ground engineering. The biggest piece of it will actually be the diaphragm wall, which actually will surround the whole site. Interesting enough, the last time we built a diaphragm wall Sizewell -- Sizewell B 40 years ago. So we're redoing what we actually did for Sizewell B for Sizewell C. But again, this unique capability underneath all gets applied to the success. And why is this important? Because ultimately, it gives the client better assurance. It comes with our safety standards, it comes with our quality workmanship. So what you see in, for example, in the power business, is this element delivered here. What you don't see is how all this is delivered across our other businesses, including our plant and fleet. So this is a substantial opportunity, but it's also substantially derisked in the way the order book has been managed in the past. Very, very exciting. In the United States, really not much different from what I reported 6 months ago. 2 challenging areas. We've got the Northwest, which is funded really by the tech sector, the Facebooks, the Amazon, the Microsoft and the likes of that. We've seen that market slowing. In Texas, which is largely a developer market influenced by interest rates, we've seen that slow. Interestingly, in Texas is that the work is piling up. We've got our largest order book of awarded but not contracted. The challenge is, until the developers get certainty, they won't move it into contract. And so we're sort of, we've got a lot of pent-up demand here. What we are seeing is still strong growth in California in schools. The federal market in Washington, D.C. is going well, and of course, in Florida with Mickey Mouse and Universal, we've got great growth in hotels, leisure and the likes of that. So exciting. We're not standing around waiting for growth to actually happen. We are investing. So what we've done is we've invested in Jacksonville and Sacramento as 2 new branches. As you know, our business is a local business, because it's a local supply chain when you're in building and construction. And under that scenario, we're seeing really good activity in both of those, in particular, Sacramento. And then our smaller branches, we're actually doubling down and investing in the Raleigh, the Austin and the Phoenix in order to grow those, and that's on top of the base business that you've seen. So we see '24, '25 seeing some really good growth in revenue in those new areas. Also, we're focusing on the airport market. We just won a contract in Sacramento for effectively bridge connectors, which is something we took from the LAX. We just won another contract in Raleigh, and we won in Jacksonville. Those 3 are just under $1 billion, and they will be delivered over the next 2 years or so. So again, a lot going on there. Finally, in terms of the infrastructure in the civil market, there is growth in that market. And of course, there's the Biden inflation reduction act, but the U.S. market is still fixed-price lump sum. So the risk actually sits largely with us. So until that matures in line with what we see in the U.K., we're just going to be more cautious in terms of the large projects that we endeavor to take on in that area. But again, U.S. is a solid performer just waiting for the dam to break so that we can be more optimistic about the outlook for next year and the year after. In the case of Gammon, which is our joint venture with Jardine Matheson. In their market, this is a -- they are a substantial player, very high profile, very, very strong brand, very good business. It almost replicates what we do in the U.K. in terms of capability, all those things around piling, concrete delivery, design, temporary works, all of this goes on in Gammon. And it is a £2 billion business. So it's not far off the size of the U.K. business, about half. Basically, this is a very, very strong market. It's centrally planned, and since the change of all the formalization of government, what we've actually seen is that the markets moved forward very, very positively. Historically, we've seen a very strong building market and residential. With interest rates higher, we've now seen that starting to fall off, but infrastructure is beefing up and again, substantially in terms of building the infrastructure, which is supporting the focused markets around the region of tech, IT, data centers, R&D centers. And a lot of this is going to be supported by the rollout of 5 MTR new stations and the rail tracks associated with them. We've just bid 1 station with MTR and that would be circa £1 billion. When that's completed, it will come with the deck platform. And then what they'll do is they'll build out commercially on top of that, commercial and residential. So you can see by actually putting the station in, it positions you well for the next phase of building on top of that. So we're seeing, again, strong growth with MTR. All the customers we deal with in this region, they are long established relationships. And that's important because when things go wrong, we know how they behave and how they respond. And MTR has been a customer for a very, very long time, as have many of our buildings customers. So we're very selective in what we're bidding. There's not any growth, by the way, in Hong Kong and around there. There is the Northern Metropolis, which we've talked about before. There is the Macau casinos, which are growing as well. So this is a vibrant market. We're only constrained not by opportunity, but actually by capability and people that we can hire. Interesting enough, the government in Hong Kong recently have just changed the rules around bringing in expert labor, which is going to relieve the pressure on head count and capability, which actually will help spur growth in the future. If I look at our investment business, Phil has talked to this at nauseam. Second half, we're looking at the divestments in that business. But as we've always said, if we're not getting the right return on those investments, we're not apt to rush out and sell them for the sake of selling because these are actually performing yielding assets. So it really is a question around do we just want to keep the yield or do we actually want to take the capital gain. We continue to make investments. As you know, we invested in EV charging company, which we named Urban Fox. That was a small investment, but the premise of the strategy was around. We have good relationship with local authorities. And there's really good demand for EV charging at the moment. And it's not outside London, the satisfaction levels are really low. So we're quite optimistic about that as a long-term play. We've invested £24 million in assets. The largest was Tallahassee, Florida, which was a student accommodation. We also completed the build of the Vanderbilt student accommodation in Nashville. And we also won the William & Mary College in Virginia. So again, there's a lot of stuff going along under the surface here. We're really committed to consume accommodation in the U.K. and the U.S. We've got 2 major projects in the U.K., which we're trying to get to close in the second half of the year. U.S. multifamily housing, we continue to invest in that. P3 is the biggest opportunity here. As you remember, the LAX People Mover, which is this P3 here, is a P3 value at about £2.6 billion, and we're looking to capitalize on that. And the next bid we'll be doing is the Prince George County Schools in Washington, D.C. And that, again, is the most -- is the biggest opportunity that we've got on the plate at the moment. The unfortunate thing about P3 is it just seems to take years to get these things to fruition. So there's a heavy upfront investment before you get the returns. And of course, we're looking to actively play in the U.K. energy transition market. If I look at building new futures, nothing new here in terms of carbon materials and communities in that we've maintained our 2030 strategy and targets. We've made fantastic progress under the leadership for sustainability. We've completed our work on the pathway to decarbonizing for Scope 1, 2 and 3. We'll be submitting in the second half of the year to the body of the science-based targets, in order to ensure that we don't exceed the 1.5 degrees temperature rise globally. We are confident of this going through very well. It is interesting between Scope 1 and 2, which is what we do internally around carbon and energy versus Scope 3. Scope 1 and 2 actually only equal 3% of our overall carbon footprint. So you can see that it means we've got an awful lot to do with the supply chain to represent the other 97%, and although we've made great inroads in terms of reducing idling, changing out diesel to electric and the likes of that, it's still sort of just a small microcosm on the scale. Areas where we've made great progress is -- and the area I'm focused on the most is really around how do we drive more social value. Because we have the ability to put things back into communities in order to make communities better places. We spent £125 million in locally generated economic value by placing work with local suppliers. We've trained over 2,000 days of training for people coming into the business. And interesting enough, on this one here, we've trained or taken over -- taken out over 300 people who were long-term unemployed and put them into jobs. So we're giving people what are the basic skills to make them productive members of the community. And I think the social benefit that comes from what we do just in our day-to-day business is fantastic. This is 1 job. We have 600 other jobs. And across the group, we're trying to do these things all the time. And of course, we still run the 5% club, which is around getting young people, whether apprentices or graduates, into the workplace early and giving them skills for life. So finally, we're on track for the full year. We're positioned really well to capitalize on growth, whether on the demand side or the supply side. Over the last 3 years, we delivered £600 million return to shareholders. We're confident about future returns. Business is in good shape for the full year, and we're confident that we'll deliver on expectations. Great, great future for the growth in this business. And now I hand back to Phil for all the questions.
Q - Arnaud Lehmann: I'm Arnaud Lehmann from Bank of America. I have 2 questions related to the U.S., please. Firstly, we have seen some companies more in the building products world relisting in the U.S. and saying there was an advantage of being a U.S.-listed company with a U.S. head office to operate in the country because the U.S. is -- America is buying America. Have you felt in the private or the public sector as being a British company listed here was ever a problem when you bid for contracts relative to the locals? And is it something that -- is there a way to address it? And my second question on the U.S. is your positioning. I think your position more in the commercial sector, which is suffering a little bit at the moment. There are more opportunities coming up in the infrastructure space. You mentioned that there was more lump sum fixed contract, so that was probably a bit more risky on your side. When do you expect that to evolve, if ever? And how easy would it be for Balfour Beatty to progressively transition from the private sector to the public sector in the U.S.?
Leo Quinn: Okay. So on the British element and even on the question of relisting, everything goes through phases. I can remember what, 20 years ago, people talking about the capital asset pricing model, and you've got too much cash on your balance sheet, and you should give it back to the shareholders. And of course, the answer is if you don't like the way we run the balance sheet, you can always put your money elsewhere. I think it's quite important is that markets go up and down. And at the moment, there might be a -- it might be vogue to want to list in the U.S. But I'm sure the U.K. market will come back. And when we see a bit of growth in the U.K. market, which is probably predicted in the next couple of years, I think everybody rushing back here. So we're very comfortable with where we're listed. And we don't necessarily see the opportunistic move to the U.S. is something we're going to waste time on. You can contradict me, by the way. And in terms of being a British supplier to the U.S. I think we're treated fairly. At the end of the day, it's about capability. If you can deliver some of these residential commercial theme parks like we delivered Avatar. These aren't just things you sort of buy off the shelf. There's a real capability there. So I think we -- people buy on capability, and that's what we bring to the party. And we're long established in all the areas that we're in. In terms of the positioning, Look, we're really clear about the fact that we're in business to sort of make returns and derisk the portfolio. I'm happy to have a business which is half the size and double the profit because it's about returns. It's not about being busy fools. So the commercial market in the U.S. is challenging in terms of the infrastructure commercial market. And where we do well is roads in Texas, roads in the Carolinas and things like that. We've done well in California in the LAX People Mover and things like that. But these are challenges. And if you're being awarded large jobs of $1 billion on a fixed price lump sum basis, you've got to be really, really careful. So we'd rather sort of a keep a presence in the market, and wait for the market to sort of normalize the terms. Whereby when people don't bid at stupid prices, and all of a sudden, the developer or the client has to go back and rethink how they come to market. And we're seeing that in the U.K. in 1 region in the U.K., I won't name North of Hadrian's Wall, but we were looking at roads in that area, and we just refused to bid because the commercial arrangements were just unsatisfactory. They've now come back and said, "Look, well, okay, well, on what basis will you bid?" Because if you don't have anybody tendering, you can't get the work done, and those authorities have to get the work done. Do you want to add anything?
Phil Harrison: The only thing is we probably wouldn't get the quality of research in the U.S.
Unidentified Analyst: Johnny Kober [ph] at Numis. Three questions from me, please. Firstly, on Support Services. How quickly can you scale the business? And what's the lead time on adding capability there? Secondly, within U.K. highways and the delays in the market, is there any impact from that on maintenance contracts? And also, could your share of the [A66] growth? And then thirdly, on U.S. construction and in terms of the contracting model, I'd be interested in your thoughts on how that's fared through the emergence, reemergence of inflation post-COVID i.e., have subcontractors being caught out by the reemergence of inflation, and they now want more continued season contracts?
Leo Quinn: Yes. On the Power business, let's just understand the process. So basically, your bidding is 6 to 9 months, in terms of the framework into how you play in it. SSE has completed their National Grid is in process. Once you've done that, there's with DCOs, which are consent orders as to how you will deliver things on the ground, our environmental and all of these items, planning and the likes. That effectively is almost, it's a 2-year design process. Now the government is actively consulting at this moment in time and how do they reduce that? Because everybody complains about the cost of projects rising. But the primary reason for the rising is we don't have environmental consents. We don't have planning consents. And even when there's a judicial hearing that says, you can go ahead and do the work. The local authority still has the final say. So the government is consulting on is how do we reduce the timeline. So if we can reduce that timeline to a year, rather than 2 years, we'll be putting shovels in the ground at the -- in the middle of 2024. So we're engaged now with SSE and putting our teams together to do the consenting and to do the design. And then you've got sort of like a 3-year construction period. So there's a bit of a movable feast. So the way we think about it at the moment was about 2 years for design and consent, and then 3 years to build. There is some seasonality in those businesses, by the way. Your second question around U.K. highways maintenance. Look, the U.K. roads, unfortunately at the moment with pot holes and like that are a bit of a disaster. So I don't see any drawing back from that. It's not something that we can actually do. On the A66, when the project is given the go ahead, it's highly likely that our share will increase. But at the moment, we're still waiting for the actual notice to proceed. But in terms of highways, there's a half a dozen highways out there at the moment, which we're very interested in. But in terms of the portfolio, if you look at where government money is going, obviously, they don't have an endless pool of it. I think in the medium- to long-term, you'll see highways start to reduce, but it will be pumped into other areas. And then finally, in terms of U.S. construction emergence of inflation, I'll do this one just to be quick. The majority of our business, i.e., £4 billion out of £5 billion is buildings. The contract process is that we put together the cost and then, for example, we'll put a 4% fee on that. 2% plus will be overhead and then the remainder will be profit. Though that contract is then built out with all of the subcontractors offering their form fixed-price lump sum. So they take the inflation risk. And underneath that, they then ensure that either with a bond or some subguard, that they can deliver that. And basically, their house is on the line around that, quite painless they get it wrong. So fundamentally, that risk is passed down to the supply chain in the case of U.S. buildings. And it's quite important to remember that it's a lower return model, but it's actually a lower risk model. Do you want to add anything to that?
Phil Harrison: Well, the only thing I would say is that if you look year-on-year, I think the supplier market is tighter. Subcontractors are under a bit of pressure because of this inflation impact. So we clearly look at the quality of our subcontractors, keep a very close eye on it. We've not seen a huge amount of contractors going bust at this point. But clearly, it's something that we keep an eye on.
Leo Quinn: Yes. It's not in our interest to allow any subcontractor to fail. And on the same basis, as we'll work with our customers. If there's an inflation risk, which wasn't anticipated in the initial contract, which was struck 4 or 5 years ago, we will go back and work with the customers and see how can we mitigate that in the same way we'll work with our supply chain to try and do the same. The disruption that's caused by a bankruptcy goes far beyond just the cost of fixing a supplier. Yes.
Joe Brent: Joe Brent from Liberum. Three questions, if I may. Firstly, on the U.S. margin, I take the point it's low risk, low return. But having delivered 1.2% both halves, could you give us some indication of where you think that should settle? Secondly, if memory serves, at the full year, you talked about the risks around perhaps Chinese capital controls and no one knows where those relationships go. We clearly got a lot of capital tied up in Gammon. Is there any way you can derisk that? And thirdly, I think there's one for Phil. The working capital absorption is around 15%, stable at the year-end level and sort of minus 15%. And you've grown sales, so why we're not seeing a work capital inflow rather than outflow in the first half?
Leo Quinn: Well, I think we'll get Phil get the first 2, and I'll do the third one, shall we? Do you want to try that the second half expectations for buildings in the U.S., 1.2% too?
Phil Harrison: Well, we are anticipating that margin will increase into the second half, it usually does. However, the U.S. at this point, probably from a revenue point of view, we think, is going to be relatively flat. So we'll see some. We will see some margin growth. We're still committed to our 1% to 2% range. So that's still our key focus to drive that margin up. But clearly, we're in a place where we will make very small increases in that tens of percent.
Leo Quinn: In terms of China, it's a good question. The -- I think our asset -- from memory, I looked at this 6 months ago, so but our asset base is about £70 million. It's not a lot, although we hold a higher amount of cash, but that's part of the rules of Hong Kong. You actually have to have a certain cover, don't you, for to do business there, which is actually quite clever. Which means you can't suck out all of the cash and then have it run on negative working capital. Do you just -- is there any more on that?
Phil Harrison: Well, look, the precautions we take in Gammon, we distribute all of the profits annually from Gammon. So we don't leave anything that's -- that we don't -- that isn't required to run that business. They -- we don't guarantee anything in terms of guarantees from group levels on anything. So clearly, it's a very stand-alone business and therefore operate its own kind of banking. So it doesn't call upon our kind of group balance sheet. And I think we've always taken a view that, I think, at the moment, we run quite a thin think cap. I think it's probably in our books at about £75 million, I think. But the key here is to extract our earnings out on an annual basis.
Leo Quinn: Yes. And I think what Phil's made the key point is it is a totally separate independent balance sheet. Unlike when we had the Middle East. The Middle East leveraged our balance sheet, which is one of the reasons why we divested of it. Hong Kong is not in that position. In terms of your working capital question, Phil would be upset if I answered it, so I'm going to let him.
Phil Harrison: No you have a go. It's really around the project mix. And as we've said, the U.S., where we have some very big mobilization payments we had a couple of years ago on actually a major set of roads and on our P3s, we've seen that now starting to unwind. In the U.K., the U.K. is more balanced to project bank accounts. So we don't see as much working cap benefits in the U.K. versus the U.S. So it's that dynamic that's playing out there.
Leo Quinn: Couldn't have answered it better.
Andrew Nussey: Andrew Nussey from Peel Hunt. A couple of questions from me. First of all, U.K. Construction. I think, Phil, you said the key driver to the revenue growth was the ramping up of HS2. With the rephasing of that project, is revenue growth going to be harder to achieve in U.K. construction over the next couple of years? Or have we reached a sort of a normalized sort of run rate? And secondly, in terms of the U.S. investments and the monitor, what are they actually monitoring, and are they providing any observations to you, which have relevance to the broader military portfolio and actually multifamily housing in general?
Leo Quinn: Over to you.
Phil Harrison: Look, we completed our analysis of that. We don't see it as a -- in our forecasted '23 or '24 issue. I think the issue becomes these deferrals and delays. So as I think people do understand that usually costs more ultimately in a construction world. So one could anticipate that maybe revenues will tick up past that period as we have to finish the job. That's just 2. On the monitor, monitor has wide-ranging access to the whole of the military housing business there. They're looking at our compliance processes, our ethics, our culture, and they go across the whole of the 55 bases that we operate in the U.S. So as you can imagine, it's a very wide ranging and large exercise. And as they report out, we take those things on board to improve the process. They're not -- they're monitoring our plans and our plans to improve the process. And then they'll audit those things that we put in place. So that's what they're driving forward on. And we welcome it. We welcome the support, and we want to improve the military housing controls and compliance in that business.
Leo Quinn: Yes, it is interesting as we're in a world where there's more compliance. There's a lot of attention paid to speak up, and whether or not we're getting the voice from the grassroots of the organization, the top of the organization and then how we're acting on it. And we have seen across the whole group, not just in military housing, how the number of speak ups have actually increased and how we investigate them and the likes of that, which is good, because it leads to a transparent, very clean culture. So we actively encourage that. But I think that's happening across all corporates in this day and age. So I think we're just sort of a little bit ahead of the trend in some cases.
Stephen Rawlinson: Stephen Rawlinson from Applied Value. Just a couple from me. Just on that issue of compliance, perhaps a related question with regard to ESG. I mean 2030 is getting closer. When we first started talking about 2030, it was a long way away, but it's not now. Who's going to actually pay for ESG? Are customers willing to pay, because some of the modern equipment that's coming out. There's hydrogen powered and so on is presumably a much higher cost. Are they looking for the bird of the margin to come on for that come on you? And how will that play out over the next year or 2? Or is it something that customers in cost plus environment are willing to fund? And secondly, the capital allocation model, you mentioned M&A as a likely flow of funds. And that's not been a feature of anything that's happened in the last few years. But and an environment more technology, IT. You'll keep going to these sorts of meetings and we hear about digital and so on. Is there some -- are there some technology areas or skill sets that M&A might fill the gaps in? Or are you just content with what you have now and believe that you can develop that internally?
Leo Quinn: Yes. Well, look, first and foremost, you're right, 2030 is sort of a year nearer than when we presented the same results a year ago. But having said that, customers aren't breaking their hand up and saying, "Well, I'll pay extra for reduced carbon and the likes of that." The expectation is you'll do that off your own back. Some of the government contracts, they're preferred to fund some innovation and some ideas. But generally speaking, it's a competitive world. And even if we said we were going to increase prices, if someone's bidding at sort of a lower price, you don't want to be surprised that you don't win the job either. So you don't even get a chance to implement those sorts of things. So look, there's no doubt that everybody wants to go to heaven, but nobody wants to die. So we're all trying to be net 0 carbon, but paying for it also is a challenge. The other thing is, well, some of the technologies don't actually work. You can actually electrify a crane and it can go up and down and do loads. But if you're tracking more than 100 meters and battery is dead. So there are still technology challenges and innovation. And hydrogen is very nascent in the field. And we've got pilots of all these things out. We're subsidizing a lot of them. The clients are subsidizing them. But something is going to break through. and you don't want to be sort of at the back of the class when it happens. So we, like any big corporation, we invest in many things. And we hope that some of them pay for the loss leaders. In terms of M&A, we don't really do it. We'll acquire capability. But as I've always said, if I want to acquire a big project, where I want to lose money. I'll bid it directly rather than buy an intermediary. There's no point in that. But there are some exciting areas out there where it's a small end. And I think in our industry, this is the most, what's the word, undercapitalized digitized business in the economy because of the way we do things. And we do have some competitive advantages. For example, we've worked with a small company called SiteAssist in terms of digital permitting, which has an influence on by following process, you save lives. It allows you to digitize and obtain permits anywhere on site and to track every single worker which means you can be more productive. And then it gives you better assurance. Every single move in process step is tracked and photographed, which actually, believe it or not, gives you better assurance but actually better productivity, and it's actually safer. So there are things that we're investing in. We're also doing on the treasury side on the financing side, we've done some major investments with -- who's the company have forgotten the name. Obviously, you don't know either. But anyway, where's Andrew, who's doing our treasury software that we're working with this somewhere in the audience? Richard? Bloomberg and the other. So look, we are actually -- there's real productivity in the back office to be had. So we're there at the forefront of it. And if we can get that product into the field, that's where the money gets spent. If we can drive productivity there, that means we can deliver higher margins.
Phil Harrison: Causeway.
Leo Quinn: Causeway was the other company. I was thinking of. Glad one of us knows.
Graham Hunt: It's Graham Hunt from Jefferies. I think just 3 questions from me. First, half margins in U.K. Construction were very strong. I wondered if you could give us an updated view on where you see those margins going to in the mid- to long-term, what your ambitions are there? And then secondly, you said that you're stepping up investment in selling expenses. Are you seeing a more competitive bidding environment in the U.K. as we see some of these projects coming online? And then third question on capital allocation. You're guiding to the balance sheet down about £100 million, £150 million this year. Are you still comfortable with your shareholder returns framework? And should we expect, assuming you come in line with that guidance, should we expect a similar balance of dividends and buyback for this year as well?
Leo Quinn: Do you want to do the first one and the third one or do the second one?
Phil Harrison: Yes, can do. I thought you'd have a go at the U.K. It's a long-term. So that's always your.
Leo Quinn: I'm going to correct you.
Phil Harrison: All right. That's fine. So look, we do, and we're still committed to the moving our margins up in the U.K. As we've said, we think the range is 2% to 3%. We want to get to the top of the 3%, and I think that's still achievable, and we can still do that. Clearly, there's Leo has an aspiration as well.
Leo Quinn: Well, look, I think it's real simple. If you look at our capability and what we do, and compare with anybody, EPCs all across the industry. The fact that we're not earning 4% to 5% is just ridiculous. So it comes down to the right contract. It comes down to flawless execution. It comes down to the right delivery mechanisms. And we have all of that within our portfolio. And as our market has been maturing over the last 4 to 5 years, the possibility of that is still out there. Now every time I raise that range of almost double what Phil is saying. He has me drug tested and I passed on every occasion. So the point is, this business is worth so much more than its valued at, at this time. And if you look at the cash generation, it's sort of very easy to see how we've been returning 10% of our end. We've got a 10%, 11% annual return on the business between buyback and dividends. So yes, there's an engine in there. What we've just got to do is make sure that Phil adds the numbers up correctly and report it. The investment -- what was it?
Phil Harrison: More competition in the U.K.
Leo Quinn: The truth is, if you actually look at it, the number of people that can do the kind of stuff we do, it's actually quite small. But the client is in their interest to make sure they go through a competitive process that everyone falls on their sword and actually offers up the highest scope, the quickest delivery times and the lowest cost. So it really comes down to you. You have to be confident in what you're doing so that we are setting the benchmark for margin return at the right price. You got to remember, it's really important that we do this because we're not in the business of just taking cash out. We're in the business of reinvesting. And in many of our businesses, especially the power business, it's 3 to 5 years to train up the next cadre of people, and that's really at our costs. If the margins remain low, we can't make that investment. And therefore, the industry in the long-term sufferer because just have the capacity to supply. So the way I see it is that there's always going to be competitive activity. But I think in most cases, people know who they want to pick in order to deliver the job. But you have to go through this song and dials process so that they can be confident in their own mind, they're getting best value.
Phil Harrison: Yes. The other thing I would say is that I think it's the volume of bidding that we see coming forward. That means that we want to make an investment in sales expense as well, just a sheer volume issue that we see ahead of us over the next few years. On capital allocation, we're committed to a multiyear share buyback. We're not coming off that in terms of what we've said. We're not going to make any commitments at the half year on what that value and what the shape of it is versus dividends and buyback. We'll do that later in the year when we know where we're going to land and what excess cash we've got and what we want to do with it.
Leo Quinn: And if you think about it, you're always looking to allocate your capital to where you get the best return. I can't think of a better return than buying back our own shares at this time. And can you imagine about 18 months ago, we were at [indiscernible]. We're now at [340] and we're still incredibly cheap. So it's a good use of cash in that.
Unidentified Company Representative: Leo, we've got some questions on the webcast, which Jim is going to share with you. Unidentified Company Representative So we've got three questions from [Gregory] at UBS. So what is your expectation for sustainable working capital levels and cash returns into 2024? Is your ambition to grow earnings in the earnings-based businesses in 2024 after a flat '23? And then thirdly, you commented you invest into overheads to seize the growth opportunities, what is the quantum?
Leo Quinn: Phil, you do the first one? I can do the second one.
Phil Harrison: Yes, we're -- clearly, the sorry, give us the sustaining up with the second one.
Unidentified Company Representative: Expectation for sustainable working capital levels and cash returns into '24.
Phil Harrison: Yes. Look, our kind of medium-term, we've said that we want to be in the 11% to 13% range of working cap. Clearly, we've done 3 years at 15%. I still believe we are going to see another working cap outflow next year that will move us down towards that. I think we're probably not going to get down in the medium-term down to the 11%, but I think we'll get into the 13% range. So that's where we think we'll have that sustainable level is probably more now at the 13% level rather than the 11%. That's a sustainable one and then ambition to grow next year 2024.
Leo Quinn: I'll answer that one in a sort of different way. The challenge around predicting the timing is the framework is coming through, the consent orders being applied and whatever. Now if the government consultation accelerates these things, it will benefit everybody, and save billions, not millions, billions. So my forecast at the moment is you'll see an uptick in earnings in the second half of '24 with a strong uptick in '25, but if some of these things come forward, you will start -- I think you'll see a much better second half, a much bigger uptick in second half in '24. So '25 is going to be a very positive year for us. That's my forecast. I don't know if you want to build on that at all?
Phil Harrison: Well, all I'd say is I wouldn't anticipate anybody changing their '24 numbers as yet. Leo, you will have a better visibility as we do the full year.
Leo Quinn: And then the last one is like all these things, let's say, we up our selling expense by £5 million in order to cope with this sort of like tsunami of bids. You don't quite know that you're going to win them all. Now if you would win them all, that would also obviously come through with a substantial increase. So there's a little bit like, as Phil said, as you get to the end of the year, and we know what's actually come in. We know the successful outcome of 1 or 2 already, and we know the quantums are over £1 billion. So the point being is it's a little bit too early, but we're very optimistic given our market share and the strength of our capability that we're going to be a significant player right across the board in all of these areas. Again, just a little bit too early to say with any degree of sort of fact what that number will be. But it will unquestionably be very positive.
Phil Harrison: I think we have to be clear. It's not going to be in the tens of millions. So it's probably in the high millions.
Unidentified Company Representative: Thank you. There's no further questions.
Leo Quinn: That was optimistic for Phil. Great. Well, thank you all for coming. I hope you enjoy your summer holiday after this event, and we'll see you next 6 months' time for the next checkup. Thank you.